Operator: Good morning, ladies and gentlemen, and welcome to the Q4 2016 Haemonetics Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call will be recorded. I would now like to introduce your host for today's conference, Mr. Gerry Gould, Vice President of Investor Relations. Please go ahead.
Gerry Gould - Vice President-Investor Relations: Thank you, Katherine. Good morning. Thank you for joining us for Haemonetics' fourth quarter fiscal 2016 conference call and webcast. I'm joined today by Ron Gelbman, Interim CEO; Kent Davies, Chief Operating Officer; and Chris Lindop, CFO. Please note that our remarks today will include forward-looking statements. Our actual results may differ materially from anticipated results. Additional information concerning factors that could cause results to differ materially is available in the Form 8-K we filed today as well as in our recent 10-K and 10-Q filings. This morning, we posted our earnings release to our Investor Relations website. Additionally, we posted comments on fourth quarter and full-year fiscal 2016 results. These comments cover much of what we'll discuss on this morning's call. In future quarters, we plan to post the commentary to our website enabling us to abbreviate our prepared remarks on the quarterly call and to proceed more directly to your questions. On today's call, Ron will discuss highlights of our business performance and Kent will provide more detail on the important trends in our commercial operations in the fourth quarter and fiscal year. Chris will cover key elements of the financial performance of the business. After some brief closing comments, we'll take your questions. Before I turn the call over to Ron, I would like to mention the treatment in our adjusted results of certain items which, by their nature and size, affect the comparability of our financial results. Consistent with our past practice, we have excluded certain costs and charges from the adjusted financial results which we'll talk about today. In the fourth quarter of fiscal 2016, we excluded certain non-cash charges and reserves related to the recent strategic review of our business franchises. In fiscal 2016, we excluded certain intangible and other asset write-downs, the reversal of related contingent consideration and other non-cash charges and reserves, but in the fourth quarter and fiscal years 2015 and 2016, we excluded pre-tax transformation and restructuring costs and related tax effects. The earnings information discussed for all periods also excludes deal-related amortization expense. Further details of fourth quarter and fiscal year 2016 excluded amounts, including comparisons with applicable periods of fiscal 2015 are provided in our Form 8-K and have been posted to our Investor Relations website. Our press release and website also include a complete P&L, balance sheet, and a summary statement of cash flows as well as reconciliation of our GAAP and adjusted results. Finally, as we pointed out in our earning release, please note that the fourth quarter and full-year fiscal 2016 have an extra week compared with fiscal 2015. With that, I'll turn the call over to Ron.
Ronald G. Gelbman - Interim Chief Executive Officer: Thank you, Gerry, and good morning to all of you. As we noted last quarter, we have two attractive growth franchises, Plasma and Hemostasis Management, or TEG family of products. These two growth franchises have delivered strong constant currency growth consistently over the past several years and this trend continued in fiscal 2016. We finished fiscal 2016 with revenue of $910 million, flat with the prior fiscal year, and up 3% in constant currency. This was in line with the guidance range we had provided, albeit at the lower end. In the fourth quarter, total company revenue grew 10% on a constant currency basis with about two-thirds of that growth attributable to an extra week in the fiscal year which landed in the fourth quarter. For the full-year, revenue grew 3% on a constant currency basis with about half of that growth attributable to that extra week. Strong performances in the Plasma and Hemostasis Management franchises continued, but unfortunately, so did declines in the Donor business. Our North America franchise, Plasma franchise, delivered 25% growth in the fourth quarter completing a fiscal year with 17% growth, including 6% from liquid solutions and 2% from the 53rd week. We are focused on working with our customers on optimizing collection productivity and yield, while benefiting from continued growth in the end market for plasma-derived pharmaceutical. Our NextGen plasma collection software is commercially available in the U.S. market and continues to gain customer interest. We now have four contracts signed including one with our largest customer. Our new collection device is targeted for commercial introduction in fiscal 2018. This combination will deliver differentiated value to each plasma collection event. Our Hemostasis Management, or TEG franchise, is well-positioned and on a healthy growth trajectory. TEG disposables grew 22% in constant currency this quarter, closing out the year in which 21% growth was achieved. Our legacy TEG 5000 device is driving this growth and we are drawing closer to the full global launch of our new TEG 6s device. We expect our TEG family of products, TEG 5000, TEG 6s and TEG Manager, to continue to deliver growth with existing and new customers as we penetrate the global market. Much more will follow on our Plasma and Hemostasis Management franchises as well as other aspects of our portfolio at our Investor Day in Boston next week. As we highlighted in our earnings release, there were notable items in the fourth quarter that decreased our earnings by about $0.10 per share. On the other hand, we benefited from a lower tax rate than planned and gained about $0.03. These few items caused us to report $1.63 adjusted earnings per share instead of $1.70 which would have been the midpoint of our earnings guidance range. All things considered, this was a reasonable finish to a very tough year. Now, I will turn the call over to Kent to provide more details about our business performance.
Kent J. Davies - Chief Operating Officer: Thanks, Ron. Good morning, everyone. This morning we announced fourth quarter revenue of $243 million, up 7% as reported, and up 10% in constant currency. Our growth franchises of Plasma and Hemostasis Management, or TEG, continued their solid performances. These two business franchises delivered $17 million of revenue growth in the fourth quarter and $38 million of revenue growth in fiscal 2016. In the fourth quarter, Plasma disposables revenue was $91 million, an increase of approximately $15 million or 20% as reported and 23% in constant currency. Shipments of saline and sodium citrate and the 53rd week, each contributed about eight percentage points of our plasma growth in the fourth quarter. Plasma growth was realized in each of our four geographic regions. Hospital revenue was $32 million in the fourth quarter, down 1% versus the prior year. Excluding the impact of currency, hospital revenue grew by 3% in both the fourth quarter and the full fiscal year. Strong TEG momentum provided growth that more than offset $2 million decline in orthopedic cell salvage in the fourth quarter of fiscal 2016. We had record TEG disposables revenue of $14 million in the fourth quarter, up 20% as reported, and up 22% in constant currency. In the fourth quarter, we continued to see growth of TEG 5000 even as we shipped TEG 6s devices, disposables and software in preparation for full market release. Over the past three fiscal years, we sold nearly 2,500 TEG devices, including 800 devices in fiscal 2016. Surgical or Cell Saver disposables revenue was $15 million in the fourth quarter, down 4% as reported, but up 2% in constant currency. In fiscal 2016, Cell Saver disposables revenue was up 1% in constant currency compared with the prior year. In fiscal 2016, hospital revenue was $125 million, flat with fiscal 2015. Strong TEG growth more than offset a decline of $6 million in orthopedic cell salvage. In the fourth quarter, our Donor or blood center disposables revenue was flat at $86 million. Excluding the impact of currency, Donor disposables grew by $3 million or 3% in the quarter. Platelet disposables revenue was $40 million in the fourth quarter, up $3 million over last year as reported, and up $5 million or 13% in constant currency due in part to emerging markets' growth. Additionally, in Japan, fourth quarter order timing and our increased market share of single-dose platelet collection offset the ongoing shift towards our competitors' double-dose platelet technology. And our platelet revenue was flat with the prior full fiscal year. Red cell disposables revenue was $10 million, down $1 million, or 11% as reported, and down 10% in constant currency versus last year's fourth quarter. We continue to implement our long-term contract with the American Red Cross during the fourth quarter. Through this agreement, we expect to achieve 100% of the ARC's double red cell business, achieving greater volume at a lower price. Within the red cell business, pricing represented the majority of the fourth quarter's revenue decline. Whole blood revenue was $36 million in fourth quarter, down $2 million, or 4% as reported, and down 2% in constant currency. Whole blood revenue was $24 million in the Americas, $8 million in Europe and European distribution markets, and $4 million in the Asia Pacific and Japan markets. North America whole blood revenue continues to be impacted by declines in the U.S. red cell transfusion rate which were approximately 10% in each fiscal year 2014 and 2015. That rate of market decline slowed to approximately 7% in fiscal 2016, within the 5% to 8% range we previously communicated. Sales of whole blood products to U.S. blood centers now represent less than 6% of our consolidated revenue. In fiscal 2016, Donor disposables revenue was $312 million, down $27 million, or 8% as reported. Excluding the impact of currency, blood center disposables revenue was down by 5%. Platelet disposables revenue was $143 million, down $9 million, or 6% from last year as reported, and down 1% in constant currency. Red cell disposables revenue was $39 million, down $3 million, or 8% as reported, and down 7% in constant currency. Finally, whole blood disposables revenue was $129 million with a decline of $15 million or 10% as reported, and down 8% in constant currency. Software Solutions revenue was $20 million in the fourth quarter, up 9% as reported, and up 10% in constant currency. Initial customer interest in our BloodTrack HaemoBank system remains encouraging. Equipment revenue was $14 million in the fourth quarter and $52 million in the year. Our installed base of equipment, which is the combination of purchased and placed devices, increased 7% in fiscal 2016. The installed bases of Plasma and TEG, our two fastest-growing franchises, had increases of 11% and 17%, respectively, in fiscal 2016. Before I close, I'd like to highlight a few additional elements of our commercial performance that we believe are noteworthy. Our North America Plasma business completed another strong year with disposables revenue growing faster than the expanding end market and strong interest in our NextGen donor management system software from multiple customers. Hemostasis Management continues to grow. We are pleased with our trajectory and remain excited about the prospects for our TEG family of innovative devices, disposables and connected software solutions. We delivered another positive result in China with constant currency revenue growth of 18% in the fourth quarter and 10% in the fiscal year. TEG made up an important part of that growth and we also enjoyed solid surgical cell salvage growth in the fourth quarter. With that, I'll turn the call over to Chris Lindop. Chris?
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: Thanks, Kent. As noted, in the fourth quarter, total revenue was $243 million, an increase of 7% as reported and 10% on a constant currency basis. In fiscal 2016, total revenue was $910 million, flat with the prior year as reported, and up 3% in constant currency. Currency impacted revenue by roughly 300 basis points in the fourth quarter as it did in each quarter of fiscal 2016. During the quarter, we had constant currency growth in all geographies except Europe; strong growth in U.S. Plasma, TEG, and platelet disposables revenue, and software, along with modest growth in Cell Saver disposables, offset declines in red cell and whole blood disposables on a constant currency basis. Toward the end of the fiscal year, the Italian government enacted a law retroactive to January of 2015 requiring medical device companies to reimburse the Italian government for a portion of its healthcare budget overrun. For accounting purposes, the reimbursement is treated as a rebate using revenue. We recorded a $1.4 million reduction of revenue in the fourth quarter which impacted our gross and operating profits. Also, as part of the review of our business portfolio, we reconsidered expectations for revenue in the whole blood and apheresis businesses, collectively our Donor franchise; and this led to the establishment of inventory valuation reserves of approximately $5 million recorded in the fourth quarter which reduced gross profit. Fourth quarter adjusted gross profit was $100 million down 9%, or $10 million year-on-year; a $5 million currency headwind was included, so gross profit decreased by $5 million or 5% in constant currency. Fourth quarter adjusted gross margin was 41.1%, and currency headwinds, the Italian rebate and the inventory related charges impacted gross margin negatively by 490 basis points in the quarter. Fiscal 2016 gross margin was 46.2%, down 260 basis points. Currency headwinds contributed 220 basis points of this decline. The balance of the decline is attributable to the Donor inventory valuation reserves discussed previously. Adjusted operating expenses were $74 million as reported, down $1 million or 1.4% as compared with the prior year's fourth quarter. Fiscal 2016 adjusted operating expenses were $300 million, down $6 million or 2%. The fourth quarter and full-year reductions were achieved despite incurring an extra $5 million of operating expenses in the 53rd week. Savings from organizational and corporate cost reductions permitted ongoing investments in higher impact growth initiatives, notably R&D spending, increased to 4.9% of revenue in fiscal 2016, up from 4.7% last year due to accelerated funding for the new Plasma collection device, the TEG 6s and software connectivity. Adjusted operating income was $26 million in the fourth quarter, down $9 million including a $4 million headwind attributable to currency. The $5 million of Donor inventory adjustment also contributed to the reduction in operating income in the quarter. Adjusted operating margin was 10.6% in the quarter. Reported operating margin was adversely impacted 170 basis points due to currency and approximately 220 basis points attributable to the Donor inventory charges. Fiscal 2016 operating income was $120 million, down $18 million. Operating margin was 13.2%. Currency was a $10.4 million headwind for the full fiscal year with the balance of the decline attributable to the Italian rebate and the Donor inventory write-downs. Adjusted interest expense associated with our loans was $2.4 million in the fourth quarter. Our tax rate was 18.5% in the fourth quarter of fiscal 2016 compared with 25% in fiscal 2015 as tax reserves estimates were finalized at year end and resulting adjustments benefit the fourth quarter. Fourth quarter fiscal 2016 adjusted earnings per share were $0.37, down $0.10 or 21%. The favorable earnings per share impact of the lower tax rate was more than offset by the unfavorable impact of the Italian rebate, approximately $0.02 per share, and the Donor inventory-related charges which were approximately $0.08. These items all flow through the fourth quarter results. Fiscal 2016 adjusted earnings per share were $1.63, down $0.22, of which $0.15 is attributable to currency with the balance of the decline attributable to the fourth quarter Donor inventory charges and the Italian rebate. We ended the year with $115 million of cash on hand, down $46 million from fiscal 2015 year-end. We used $38 million of cash for VCC and other restructuring and $61 million for the repurchase of shares in the open market. We reported free cash flow before transformation and restructuring costs of $58 million in fiscal 2016. We completed spending under our VCC programs in fiscal 2016. And as I have explained before, VCC savings realized have offset disclosed business adversities including currency and volume reductions and pricing concessions in our North American Donor business. Now, regarding fiscal 2017, we expect to provide guidance when we have our Annual Investor Day next Tuesday, May 10. However, I do want to reiterate, and in some cases, expand upon a number of items I've provided previously for your consideration in preparing your fiscal 2017 estimates. Currency trends are now expected to a negative impact of $14 million in operating income in fiscal 2017. Obviously, fiscal 2017 will not include the 53rd week that benefited fiscal 2016, which will impact operating income negatively by roughly $2 million year-over-year. And in our Donor franchise, several identified adverse trends or events will also impact the fiscal 2017 earnings outlook. Customer input and our own observation suggests a continuation of whole blood collection declines into fiscal 2017, which we currently estimate will reduce operating income by approximately $5 million. Our red cell apheresis business in the U.S., price reductions in the American Red Cross and other share losses will have a negative impact of about $12 million on fiscal 2017 operating income. We've been monitoring the market shift towards double-dose platelet collections in Japan which is now estimated to have a negative impact of approximately $10 million on our fiscal 2017 operating income. On the positive side, we plan to mitigate these negatives to the greatest extent possible by addressing investments and business infrastructure spend in our Donor franchise. While we also continue to expect strong revenue growth in our Plasma business and expect to see another year of significant growth in Hemostasis Management, fiscal 2017 is going to be a challenging year. So we look forward to sharing the results of our recent strategic review and our complete fiscal 2017 outlook on May 10. And with that, I'll turn the call back over to Ron.
Ronald G. Gelbman - Interim Chief Executive Officer: Thanks, Chris. Our board of directors continues to conduct its search for a permanent CEO. That process is moving along and we will announce the result as soon as the final decision is reached. Our work to evaluate all of the franchises within our business portfolio has concluded, as have most of our plans to implement the initial phase of our strategy. Our goal is to put Haemonetics on the path to sustainable and differentiated top and bottom line growth. We will share the results with all of you at our Investor Day event. Regarding that event, it will be next Tuesday, May 10, in Boston. We have sent invitations and we sincerely hope you will join us. We will webcast a portion of the event and that is available through our Investor Relations website just in case you cannot take part in the entire event in person. Once again, I thank our employees. Their commitment and their dedication to the needs of our customers give me real optimism that we can turn our potential into superior performance and create real value for our shareholders. With that, we are happy to take your questions.
Operator: And our first question comes from Larry Solow with CJS Securities. Your line is open.
Larry S. Solow - CJS Securities, Inc.: Good morning.
Kent J. Davies - Chief Operating Officer: How you doing, Larry?
Larry S. Solow - CJS Securities, Inc.: Do well. Wonder if you could maybe just the last stuff you mentioned in terms of the challenges to 2017. Could you maybe just bucket the numbers you mentioned and what they were prior? So I think currency trends you say now are minus $14 million with – I think you had given a minus $10 million recently, and that was the last update on that?
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: I think $12 million was the last one.
Larry S. Solow - CJS Securities, Inc.: Okay. And then on whole blood, you had said $10 million, right? Now, it's $12 million on the red – is that on the blood cell?
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: On red cells, yes; a little worse than we'd originally estimated.
Larry S. Solow - CJS Securities, Inc.: And whole blood, you never had really – that's a new number? That the $5 million...
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: Yeah. We hadn't quantified it, but the adversity in the business was there.
Larry S. Solow - CJS Securities, Inc.: Okay. In terms of this quarter, just looking at – if I strip out gross – the charges in gross profit – on inventory charges, gross profit's still down to like 45%. I realize Plasma is higher margin and a bit better than everything else. Is there anything else in there that caused the pressure on gross margin?
Kent J. Davies - Chief Operating Officer: Yeah. I mean – you pointed out mix. Of course, that's a factor. And then, pricing in the red cell business, that's high calories, if you will, when you give up price.
Larry S. Solow - CJS Securities, Inc.: Okay. And just lastly, it looks like you've got to – you've reduced some operating expenses, a pretty significant amount, at least compared to what I was looking at considering you had a 13th week. Was there anything in there timing-related that will push into 2017, or was just basically just your ability to manage expenses?
Ronald G. Gelbman - Interim Chief Executive Officer: No timing. No. On the contrary, we see that continuing into 2017.
Larry S. Solow - CJS Securities, Inc.: Okay; great. Thanks.
Operator: Thank you. Our next question comes from Karen Koski with BTIG. Your line is open.
Karen Koski - BTIG LLC: Hi, guys. Thanks for taking the questions. A couple from me. I guess, first, I know you'll be giving us some more detail next week about the portfolio review that's been underway the last several months. But how confident are you at this point that you have, in fact, identified all of the issues under the areas that need attention, and going forward it's going to be more about execution than continuously going back to the drawing board and making sure that nothing was missed? And then, just as a follow-up to that question, how much of a limiting factor is not having a permanent CEO identified at this point, given he or she is likely going to be the one that has to come in and execute a lot of these changes going forward?
Ronald G. Gelbman - Interim Chief Executive Officer: I guess I'm going to take that one, Karen. How are you this morning?
Karen Koski - BTIG LLC: Doing well. Thanks.
Ronald G. Gelbman - Interim Chief Executive Officer: On the last one, yeah, I think everyone has been clear that we would like to get someone in place as soon as we can. But I've also indicated to you that that won't slow us down, and next Tuesday you will hear how we are beginning to implement the portfolio review into actual action plans next week. So I think – if you're not convinced of that after Tuesday, you should talk to me about that. Now, the – would you repeat the first part again, please?
Karen Koski - BTIG LLC: Just about – I know that you said that – I think you said in your last comments that you've completed the portfolio review at this point, but how confident are you that, going forward, additional discrepancies are not going to be identified and that you have to go back and do more work on the identification side? Is the new plan going to be all about execution basically?
Ronald G. Gelbman - Interim Chief Executive Officer: Well, in this situation I don't think we can be 100% confident. But I think we are mostly confident that we have found most of the things that we wanted to find, we are moving forward, but, no, I don't – I couldn't sit here today and tell you that there won't be any more issues that we're going to have to deal with in 2017. Having said that, though, Karen, it is going to be about execution. And next Tuesday, we will explain to you exactly how we plan to execute.
Karen Koski - BTIG LLC: Okay. And then just one specific follow-up about your platelet business, can you just remind us what percentage of your platelet business is in Japan and then what your market share is in the single dose collection piece of the market? And then, is there any logical feeling for the percentage of collections that moved to double dose? Or could it eventually be the majority of the market over time?
Kent J. Davies - Chief Operating Officer: Yeah. Karen, it's Kent here. So our platelet business in Japan is roughly 25% or so of our total platelet business. And you know this industry very well and so we've all seen this trend to double dose collection happened over time. It's a big part of the U.S. market already. It's a meaningful part of the European market and the trend is beginning in Japan. The great news is that even with the significant competitive push, we maintained our platelet business in Japan in FY 2016 year-over-year. So our platelet business was actually flat year-over-year in FY 2016 in Japan. And that's really great news. That says we have a customer who is very engaged with our business, and it says that we have a team on the ground there that's doing everything they can to execute. We also believe that that's going to continue – that trend is going to continue over time. And you saw some of the numbers that Chris shared just a few minutes ago about the impact of 2017. So this is not a completely benign factor but one that we're addressing through strong commercial actions and a strong partnership with our customer every day.
Karen Koski - BTIG LLC: Thanks guys. See you next week.
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: Thank you.
Operator: Thank you. Our next question comes from David Roman with Goldman Sachs. Your line is open.
David Harrison Roman - Goldman Sachs & Co.: Thank you and good morning everyone. I know you're going to provide formal guidance next week, but I can't help but try to be a little impatient here and ask about fiscal 2017, Chris, as I sort of add up all the moving parts that you provided. If I'm reading this correctly, you're saying that about $43 million of pre-tax headwinds related to the extra week, the Donor situation, Japan FX, et cetera, and that gets me to about a $0.60 negative impact on next year's numbers. So if I take the fourth quarter EPS that you provided, adjust for some of the one-time items, that's $0.44 which would annualize to $1.76. And then, do I take off $0.60 to get to a starting point for FY 2017? Is that the right math to think about it as we formulate our models after this call?
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: I think it's also very important to keep in sharp focus my comments about management of investments and business infrastructure. We'll give more details on that next week and it will become clear. But I don't want to get into qualifying the 2017 guidance more than I have already. We'll give you full clarity next week, but bear in mind that we do have the ability to manage our business infrastructure and also you have to consider that the growth franchises will also contribute to the bottom line next year.
David Harrison Roman - Goldman Sachs & Co.: Okay. Understood. And maybe just a second strategic follow-up. I mean, I think it's become increasingly clear to most of you outside of the company that the blood business is facing what appear to be more structural rather than transient declines. And I'm wondering if that's something that management has come to recognition of and how you're going to handle that as we think about the strategic plan that you present next week.
Ronald G. Gelbman - Interim Chief Executive Officer: Well, the only thing I would say David, this is Ron, is that it's apparent to people inside the company too, not just those who are outside the company. So, Tuesday, we will tell you exactly how we're going to handle that reality.
David Harrison Roman - Goldman Sachs & Co.: Okay. We'll look forward to more details then. Thank you.
Operator: Thank you. Our next question comes from Larry Keusch with Raymond James. Your line is open.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Yeah. Hi. Good morning, everyone.
Ronald G. Gelbman - Interim Chief Executive Officer: Good morning, Larry.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Good morning. I wanted to start if I could on TEG. Obviously, a nice growth in the fourth quarter of 20%. I was wondering if you could help us understand what that looks like without the 53rd week, if it is certainly a bit slower, I think, then you guys have been targeting over time. I know that couple of years ago, we were looking at – or beginning of this year, I should say, 30% growth and then it moved kind of into the mid-20%s. Now, it obviously feels lower. And I just want to understand, if I could how, the beginning shipments of TEG 6s might be impacting the overall business?
Kent J. Davies - Chief Operating Officer: Yeah, Larry. It's Kent here. So as we've said, we continue to be very pleased with our TEG trajectory and despite the impact of the fourth quarter, the 53rd week in the fourth quarter, which was about 6.8% or so of sales in that quarter. It was a good year. And as we look across the entire business, we see TEG continuing to charge ahead. TEG 5000 remains a very important part of the equation here, but the TEG family is growing. As you know, it now includes the TEG 5000 device and its disposables and their appropriate place in our customer base. TEG 6s, we're in the early stages of our market release. And then what we believe is very important to all of our products and is certainly proving to be very important to TEG, our TEG Manager software which provides connectivity and the ability to look at multiple devices in multiple locations across facility and even remote monitoring of test procedures. So we're in the early stages of TEG 6s, but the feedback from our customers remains excellent. We have a nice pace of distribution across the world and we expect this to continue to roll out step-wise over the next several quarters.
Lawrence S. Keusch - Raymond James & Associates, Inc.: So thank you for that. And I guess what I was trying to get at was, is TEG 6s resulting in a customers, I guess, holding back on placing orders at this point until they can get that? Or is, perhaps said another way, do you think the kind of roughly 13%-ish growth constant currency without that 53rd week for the fourth quarter kind of the right way to look at the basic business growth now?
Kent J. Davies - Chief Operating Officer: Larry, it's a fair point and certainly one that we've observed and talked about here internally. And I think we've been clear over the last quarter or so that we believe that there has been for some time some elements of hold back and some elements of anticipation of the new device. But meanwhile we're continuing to place and drive disposable sales against all of our system. So that will continue until we're in our full market release globally, which will really be in the second half of this fiscal year.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Okay, great. And then two other quick ones. You guys mentioned some Japan order timing in the Donor business. I was wondering if you could just expand on that and whether that was a positive for the quarter or actually negative for the quarter. And then for, Chris, again, I don't know how much you want to get into this and I understand you'll provide more detail next week, but you had been talking about $10 million of VCC savings in 2017 for a while. I was just wondering if you could provide an update there.
Kent J. Davies - Chief Operating Officer: Yeah. Larry, it's Kent again. I'll take the first part of that. So Japan order timing was very positive for the quarter. It relates to this relationship we had with our key customer in that market over the platelet business and our increasing share of the single dose platelet collection market, but the ongoing incursion of the double dose platelet technology in that market. So platelets globally were actually up about 13% in Q4 and a meaningful portion of that had to do with increased shipments to our major customer in Japan in the quarter as we completed the first year of a contractual commitment.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Okay, great. VCC?
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: Yeah. In terms of VCC, as we look at the programs that we put in place, they've moved forward. There have been some delays, specifically the move from Bothwell to Malaysia. But they continue to move forward according to – in general, according to the original plans. And, yes, the order of magnitude of $10 million of savings is a reasonable estimate for this year.
Lawrence S. Keusch - Raymond James & Associates, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from Anthony Petrone with Jefferies. Your line is open.
Anthony Charles Petrone - Jefferies LLC: Thanks and good morning. Maybe just to back on the strategy plan a bit there, when we look toward next week, I'm just wondering if you could give a little bit of a preview on how much of what you'll talk about as more defensive in portfolio restructuring? And then, maybe as you look out to the growth businesses, how much of what we may learn next week maybe offensive in terms of maybe bolting on additional assets into one of the existing growth businesses? And to that end, on the latter point, I mean, can you just review sort of the debt ratio and credit ratings and sort of the ability to maybe bring on additional debt capacity to fund acquisitions?
Ronald G. Gelbman - Interim Chief Executive Officer: Hi, Anthony. It's Ron. I'm going to take a stab at the first part, I'm going to let Chris have the second part.
Anthony Charles Petrone - Jefferies LLC: Sure.
Ronald G. Gelbman - Interim Chief Executive Officer: If I interpret your defensive and going on the offense comment, you're going to hear what I've been talking about now for six months, which is we have the two excellent franchises that we need to continue to invest in, and we're going to need to find resources in 2017, which we have, to accelerate our investment in those two franchises. So that's what I would consider or hope you mean by being on the offense. In the Donor business, I will go through a more lengthy explanation and we will have the person who is responsible for our franchise also go through some information with you which just shows how we are facing the reality of the marketplace. We're not trying to transform the marketplace; we're facing the reality of it. And we could use your term defensive or we could use other words to describe how we have to face those realities and protect the income, and we will get more into that with you next Tuesday.
Christopher J. Lindop - Chief Financial Officer & Executive Vice President Business Development: In terms of our debt, Anthony, we are at about 2.2 times EBITDA on the covenant – that's really the only meaningful covenant that we have. We're very comfortable up to three times EBITDA in terms of leverage. We obviously have cash on the balance sheet, we have elements of our debt facility undrawn. So we have the liquidity. But I think it's safe to say that a lot of our focus near-term will be on the execution of the real growth opportunities embedded in the growth franchises and on managing our Donor business differently.
Anthony Charles Petrone - Jefferies LLC: Great. And then just one follow-up maybe on Plasma. It seems that saline is, I think, annualizing close to $25 million by my math, so maybe just to recap on that. And on just the Plasma cycle with the various end-customers, where are you in the current cycle? Is there a major contract up for renewal any time soon? Thanks again and we'll see you next week.
Kent J. Davies - Chief Operating Officer: Yeah. So I think our Plasma business remains to be not only stable but rapidly growing and high contributing part of the business. That theme should ring very clear. There are no major contracts that represent risk to the business on the horizon. We believe that our Galaxy technology solution, so the combination of our new NextGen donor management system software, our new collection device, and new disposables and a myriad of other software solutions around that Galaxy platform will allow us to renew all customer relationships and potentially form new customer relationships in the Plasma market. So Plasma remains an absolute bright spot of the business both from a day-to-day commercial performance as well as a technology and new product development standpoint.
Anthony Charles Petrone - Jefferies LLC: Thanks.
Operator: Thank you. Our next question comes from James Francescone from Morgan Stanley. Your line is open.
James Francescone - Morgan Stanley & Co. LLC: Morning. Thanks for taking the question. Wanted to touch on some of the moving pieces that you provided for fiscal 2017, particularly in Plasma and TEG. You mentioned you expect strong growth out of those businesses, but previously you had given an outlook that is a little bit more quantitatively precise; to be specific, you said that you're expecting double-digit growth in Plasma and about 25% growth in TEG. Are those still the right numbers to be thinking about?
Ronald G. Gelbman - Interim Chief Executive Officer: Yes. They are.
James Francescone - Morgan Stanley & Co. LLC: Okay. Perfect. It's very clear. Then, secondly, on the decision to establish a valuation allowance for inventories in the Donor business, can you talk a little bit more about exactly what led you to reflect your concerns about the Donor business specifically through an inventory write-down? And then, secondly, does that reflect any broader decision you've made about that business?
Kent J. Davies - Chief Operating Officer: It's a relatively routine thing, James, to evaluate inventories especially as you approach an audit in the fourth quarter. We had a lot of data coming out of our strategic review about both the long-term prospects of the Donor business and our direction with that business, and those – that analysis, that information factored into our thinking about our inventories on hand. So there was a kind of a collision of those two events. One of which is routine and planned and one of which came out of the strategic review that was commissioned back in October and really kept rolling right through until quite recently. Does that answer your question?
James Francescone - Morgan Stanley & Co. LLC: I think so. I think so. That's helpful. That's all from me. Thank you.
Kent J. Davies - Chief Operating Officer: Okay. Thanks.
Operator: Thank you. Our next question comes from Jim Sidoti with Sidoti & Co. Your line is open.
James P. Sidoti - Sidoti & Co. LLC: Good morning. Can you hear me?
Ronald G. Gelbman - Interim Chief Executive Officer: Yes, sir.
Kent J. Davies - Chief Operating Officer: Thanks, Jim.
James P. Sidoti - Sidoti & Co. LLC: I was wondering if you could give us a little more color on the process for the CEO search. I know I for one thought that there would be a new CEO in place by next week Investor Day. Can you let us know if there were any hiccups along the way there? And what qualifications are you looking for in a new CEO?
Ronald G. Gelbman - Interim Chief Executive Officer: Hi, Jim. I guess it's up to me. It's Ron. Well, let's see: where to start in all that. This has been a quite a process. It is carried out by the board. And I think it's just a mixture of factors that just try to go in to get the right person for this position. He has to have a certain desire to get into an organization and start executing and be willing to work through by frankly some of the issues that we need to work through. So it's just taking longer than you or I would have expected. Qualification – again, the board has looked at a number of things and we want somebody out here with healthcare experience, but the other qualifications I'm just going to leave to any comment that the board might want to offer on this subject. But we are moving ahead. And I know it's of important to you folks for continuing to build our credibility. But it really hasn't affected our ability within the company to do what we needed to do with the review and to set out all of our implementation plans that are in place. And we will describe them to you next week. And they will see action some time in the next week or two. So we're moving ahead inside, but I understand the sensitivity with those of you who are on the phone.
James P. Sidoti - Sidoti & Co. LLC: Great. You said you're looking for someone with healthcare experience, but are you looking for someone outside the traditional blood collection industry?
Ronald G. Gelbman - Interim Chief Executive Officer: This whole blood collection area you're talking about, whole blood and platelets, what we call Donor. Is that what – are you narrowing it to that or you...?
James P. Sidoti - Sidoti & Co. LLC: No, no. What I'm asking if somebody has to have experience in either the whole blood or in hospital salvage?
Ronald G. Gelbman - Interim Chief Executive Officer: No. Not at all.
James P. Sidoti - Sidoti & Co. LLC: All right. Thank you.
Operator: Thank you. And I am showing no further questions at this time. I'd like to turn the call back to Ron Gelbman for any closing remark.
Ronald G. Gelbman - Interim Chief Executive Officer: Well, thanks again for listening in to our results on what has been a challenging year. As I said, we look forward to seeing you next week where we can outline what we are going to do to begin this journey that we need to take in order to get Haemonetics where both you and our management want us to be. So thanks again and see you next week.